Operator: Good morning. And welcome to the Conagra Brands Fourth Quarter Fiscal 2025 Earnings Conference Call. All participants will be in listen-only mode.
Matthew Nieses: Participants will after today's presentation. Please note this event is being recorded. I would now like to turn the conference over to Matthew Nieses, Senior Director of Investor Relations for Conagra Brands. Please go ahead. Good morning, everyone, and thank you for joining us. Once again, I'm joined this morning by Sean Connolly, our CEO, and Dave Marberger, our CFO. We may be making some forward-looking statements and discussing non-GAAP financial measures during this session. Please see our earnings release, prepared remarks, presentation materials, and filings with the SEC, which can be found in the Investor Relations section of our website for more information, including descriptions of our risk factors, GAAP to non-GAAP reconciliations, and information on our comparability items. I'll now ask the operator to introduce the first question.
Operator: Certainly. We will now begin the question and answer session. And the first question comes from Andrew Lazar with Barclays. Please go ahead.
Andrew Lazar: Great, thanks. Good morning, everybody. Good morning, Sean. I know you and other industry leaders have often said that it doesn't make much sense for a company to take a full margin reset and increase spending against the consumer if they're not ready to engage in some categories yet. That means you don't really get the required lift on that spend and also may not get all the margin back in a reasonable time frame. But I guess as we've seen with some other fiscal year reporters of late and with Conagra's '26 guidance today, it does appear a more aggressive investment approach is needed and being taken. And I guess my question is, should that suggest to us that you think the current challenges the industry is facing are more structural this time around? Or how should we read all of that?
Sean Connolly: All right, Andrew. Let me tackle that. Good question. First, as you saw in our prepared materials, we got a tremendous consumer response to our volume-focused investments in the first half of fiscal '25 before we ran into the supply constraints that we've talked about. In fact, recall we started those investments in the back half of fiscal 2024 and we saw excellent lift even then. So the consumer, at least on our portfolio and our key areas of frozen snacks, is definitely responsive to investment. And that's why we returned to absolute volume growth in Q2 of last year. As for the decision to continue our focus on investing to drive volume in frozen snacks even in a still inflationary environment, let's copter up to the big picture for a second because I think it's critically important context. The above-average inflation cycle that we still sit in started in the back half of our fiscal 2021. And it has persisted since then. That means that this year, which is our fiscal 2026, is the sixth consecutive year of inflation above historical norms. So definitely not transitory. Cumulatively for us, we're talking about over $2 billion in higher total delivered costs. We did price for inflation broadly across the portfolio through fiscal 2024 and offset most all of the higher costs to that point. But in fiscal 2025, which was the fifth year of above-average inflation, we began prioritizing a return to volume growth which required investment. That remains our strategy in fiscal 2026. Unfortunately, inflation across fiscal 2025 and fiscal 2026 combined adds another 11% of cost. And the confluence of high inflation and higher investment to drive volume translates to temporary margin compression. So at the end of the day though, we are in the business of building brands, and it's hard to build brands when relentless pricing actions broad-based across the portfolio lead to protracted volume declines. We believe that healthy volumes are key at this point to long-term value creation. So we are investing margin this year in the service of volume. But I do not see it as structural. We absolutely expect margin expansion going forward particularly in frozen and here are the building blocks. It starts with productivity. In fiscal 2026, between core productivity and tariff mitigation efforts, the number is just over 5%, which is very strong. Second, at some point, we will get inflation relief, hopefully back closer to our typical 2%. Third, the advancement of our supply chain resiliency investments, our chicken plant will enable us to repatriate outsourced production at lower costs. Fourth, we are taking pricing in certain categories. And fifth, we are kicking off an ambitious initiative to reengineer our core work leveraging technology including AI to accelerate growth and lower costs. So more on that one on a later date. But between these actions and our ongoing efforts to reshape the portfolio for faster growth and better margins, we expect good margin expansion following fiscal 2026.
Andrew Lazar: Got it. Okay. Thanks very much. I'll pass it on.
Operator: And your next question comes from Peter Galbo with Bank of America. Please go ahead.
Peter Galbo: Hey guys, good morning. Thanks for taking the questions.
Dave Marberger: Good morning.
Peter Galbo: Dave, maybe you could just help us unpack the 4% core inflation number for fiscal 2026. Obviously a lot of buckets within that. But maybe just some of the moving pieces there, what's inflating double digits? What's down, you know, to kind of net either the 4% just as we kind of think about all the moving parts? Thanks.
Dave Marberger: Yes. Let me take it from the top, Peter. So if you look at our total cost of goods sold, so when we quote inflation of 4% core, that's on our total cost of goods sold. Roughly 60% of our total cost of goods sold are material costs. Our ingredients, packaging, and then 25% manufacturing, 15% kind of logistics type costs. So when you look at that 60% of material costs, about 20% of that bucket are animal proteins. And this is, you know, our beef, our chicken, our pork, our turkey, you could put eggs in that classification as well. Those costs are inflating double digits in fiscal 2026. That's our estimate right now. So that is the single biggest impact to the overall inflation rate of 4%. We are seeing additional inflation in areas kind of like corrugated cocoa, obviously, although it's not a bigger absolute spend for us, but it's still given the rate of inflation, it's still high. So that's really driving a big part of our inflation. We are also seeing inflation in our manufacturing infrastructure with our labor. And on the transportation and warehousing side, not seeing any pressure on the fuel side, actually that's a bit down. But on the warehousing part of it and line haul, we are seeing some inflation there. And so they're really the key drivers to get us to the 4% we're estimating for 2026. And then obviously the tariff piece of that is an additional 3%, which we talked about.
Peter Galbo: Got it. No. That's helpful context. And apologies guys here. Inequity guys gonna ask a lever question, which I know can always come off a little weird. But look, Dave, like, with where the leverage is projected to go on this year, you know, the need to kind of shore up the supply chain with the capital spend, just like, your draws on cash are pretty significant, and so I guess the broader question that we're feeling this morning is like why not address the dividend? You know, the payout ratio is very high. Again, you gotta refi a lot. So maybe you can just touch on in the prepared remarks, you said it twice, think, maintaining the dividend. Just why that is the best course over the next year? Thanks very much.
Dave Marberger: Yep. For sure. So as we said, and I'll communicate again today, we're committed to paying an attractive dividend to the shareholders in addition to paying down debt and remaining investment-grade credit rating. And so when you look at our fiscal 2026 cash flow forecast, we talked about 90% conversion. So we're able to support the increase in investments that we talked about in our infrastructure with Chicken. Our CapEx, we're expecting to be up 16%. We are forecasting to pay debt down by $700 million this year. That $600 million from the proceeds from the divestitures of Chef and our Fish brands, in addition to discretionary cash flow from the business of another $100 million. So we're investing in the business. We're paying debt down by $700 million and that's with holding the dividend flat to where it is today. So we don't feel at all that we're compromising the investments we need to make in the business. We're continuing to pay down debt, which is our goal. The leverage ratio has gone the other way. And that's because of the impact on our profit and our EBITDA. But we feel very good about the way we're managing cash in this company as you've seen the last two years. And we are forecasting that we're going to be able to continue to do that. And as Sean talked about, we see a lot of positive levers to drive profit margins back in fiscal 2027. We look at this as an investment year and transitory year but we're still able to fund the business and fund the dividend and pay down debt.
Peter Galbo: Thanks very much, guys.
Operator: And your next question comes from David Palmer with Evercore ISI. Please go ahead.
David Palmer: Thanks. Another big picture question. I'm wondering how you're thinking about price and promotion as the answer or perhaps not the answer in your major categories by saying not the answer, I'm thinking maybe there's other types of growth spending that you would want to ramp up as you see what's going on in your key categories competitively and just per category. So for example, in frozen vegetables, would imagine there'd be higher trade down risk and you might think about price promotion being more the answer on a category like that. Whereas in some of your other categories where you have some brands can win, there might be some premium brands that are also winning that are informing how you could perhaps adjust your innovation, other types of marketing to win in a way that doesn't speak to price promotion. So any comments on that? And I have a quick follow-up.
Sean Connolly: Yes. David, the way I think about that is unlike some of the peer set, we are not in search of answers in terms of how to get to volume growth. We know how to get to volume growth. We were doing it for five consecutive quarters through the second quarter when we got to absolute growth for the total portfolio. Very strong growth for frozen and snacks. So the model is clear. We just had to get through the supply constraints in the back half of this year and we are doing that. So what we've done as you saw in the prepared remarks, around here if always starts with modernizing the brands with new slate of exciting innovation every year. Then we invest meaningfully with customers in high-quality displays in the frozen section as an example, it's freezers at the end of the aisle where we can get real high-quality visibility on those innovations. And drive tremendous lifts. And we saw that consistently for five quarters. We then layer on A and P, which is focused really these days largely in social media and that drives awareness and really kind of excitement around the products. And then we rely on the products themselves and the great work by our culinary team to drive repeat purchase. That's how the model works and it has worked very well. When we have not had service issues. Now, did get through Q4 with service levels back to about 98%. So you don't get much better than that. And that's why we think we're in a very good position right now. If you look at the scanner data that came out this week, think our volumes in total were down about 1%. So we're getting very close to crossing over into positive territory with our programming really just beginning to kind of come into light and some easier comps. Coming on the horizon. So we think we're very well positioned on the top line as we go into this year. With these service issues behind us. Also think we're going to be very well positioned for fiscal 2027 because of the supply chain resiliency investments we've made. I've heard repeatedly from a number of our long-term investors to say, you guys got to get the supply service interruptions in the rearview mirror. This year is going to be a tough year for the industry. We felt the timing was right kind of bite the bullet, make those investments, put ourselves in a position to be able to service the very strong consumer pull that we've got. Particularly in our frozen business containing chicken. So we're doubling down on those investments this year and we're that's going to set us up very well. For fiscal 2027. But make no mistake about it, the ability to drive volume growth is not a search for us. We've done it. We know how to do it. We've got the service levels back. We're eager to we're happy now that we're in fiscal 2026 and eager to get the top line in frozen and snacks moving again. And we'll help pay for that with some targeted pricing on the can business where we're just seeing a tremendous amount of inflation due to tariffs on tinplate steel. So, that's how it all works out.
David Palmer: And is your the way you're budgeting fiscal 2026, on price mix versus your costs, as you see them today? And I don't know how to what degree you're hedged for the second half of 2026, but is it that you're going to have a crossover in price mix or at least keep up with inflation in the second half of the year? Is this a first half, second half type of thing as you see it?
Dave Marberger: Yes, David, we don't guide to specific price mix and volume in our overall organic guidance. So we guided to down 1% to plus one. We did say that in the first half, we expect sales to be down slightly and in the second half to be up slightly. So if you that's kind of the general cadence that we're giving there. Obviously, we said we're going to make more investments in pricing and merchandising. But we also are going to have pricing in the second half. And so there's a lot of scenarios how they net out. You obviously have the elasticity. So we don't like to give precise numbers on volume and price mix because there's a lot of different outcomes. But we have both additional investment in merchandising and we also have pricing in the second half. And so those things will will kind of work through, and then we'll see see how that lands.
David Palmer: Okay. I'll pass it on. Thanks.
Operator: And your next question comes from Leah Jordan with Goldman Sachs. Please go ahead.
Leah Jordan: Thank you. Good morning. I just wanted to follow-up on the last discussion. Just curious what you've embedded within your guidance on elasticity on the back of your plan pricing action in the back half and maybe how that compares to your historical trends? And I guess what gives you confidence in the ability to take pricing as you kind of called out consumers have accelerated their value seeking right now and data would suggest you're still losing dollar share. Across many categories?
Sean Connolly: Leah, it's Sean. First of all, in terms of elasticity as planned, within our categories, Conagra's average elasticity is a little bit lower than our competitors across channels and further at a company level, you look at total pricing versus total volume change, you'll also see that the elasticity has been a touch better than most peers over the last year. So we've baked in for our grocery business what would be for us fairly standard elasticity basically close to a minus one. That business. And as for the decision to take price on that business, we actually are very thoughtful in our pricing approach based on the strategy for the business. So we have two consumer domains that represent about 70% of our retail business that's frozen and snacks those are our growth businesses. Those are the strategic businesses that we need to grow over time and we are investing margin to drive volume growth in those businesses. Our canned food business, which is really the one that's most impacted by the tariff piece, that business is business that is a cash generator within our portfolio. We are looking for those businesses to be roughly stable on the top line and maximize cash because the cash on those businesses fund the growth investments we make in frozen and snacks. So volume is not the name of the game on that business. Cash flow is and we will take just inflation justified pricing on those businesses to maximize that cash and help maintain help claw back some of the gross margin that we're investing on the other pieces of the business. So it's horses for courses so to speak. We tailor our approach to pricing to what we need strategically out of the business. And frankly, the growth businesses this whole sector has been under volume pressure for a number of years now and we think it's time to get volume on growth businesses back to positive territory as we fell last year. That's what we're going to do.
Leah Jordan: Very helpful. Thank you.
Operator: And your next question comes from Max Gumford with BNP Paribas. Please go ahead.
Max Gumford: Thanks. Sean, the inflation fee per cycle, had initially largely played out as you expect the first few years of it with the gross margin getting hit hard as pricing lag inflation, but then ultimately recovering as pricing cuts inflation. And I think that was all very much in line with what you had seen in past cycles that was viewed as predictable. However, now you're heading into a year in which you expect 7% inflation, and this time feels a bit different. Doesn't sound like there's much in the way of pricing coming on. Given where the consumer is, some trying to get a sense for how you expect this cycle to now play out. I think you touched on it a bit in response to Andrew's question, but I'm hoping to get a bit more color on how you expect to see the business progress from the 11% operating margin you expect for this year over the next few years. And if there's a view on where the underlying margin or the normalized margin for the business now with the timeline to get back to that?
Sean Connolly: Margin. Thanks very much. All right, Max. Let me try to tackle that. Frankly, these cycles are pretty mechanical. The way it works is if inflation comes in, the P and L gets hit initially because your costs go up faster than you can take price. And we, a few years ago, referred to that as the lag. Then most companies when they're faced with above normal inflation, will take inflation justified pricing and after the lag they claw back most of the dollar profit that they've given up by virtue of that pricing. And frankly, that is exactly the boat we were in we were at the end of our fiscal 2024, where we had been through the lag, we had taken broad-based pricing, we clawed back most of that profit in terms of dollars that that we had given up temporarily, by virtue of our productivity our pricing actions. But by that point in time, the industry had been looking at multiple years, like three plus years of negative volume and investors rightfully asked the question, how long can you let volumes in your strategic businesses continue to erode? We are after all in the business of selling food brands to consumers. So that's where we were one of the first companies to say it's time to get volume moving north again. And we invested last year to do that and we got a tremendous response before we ran into the unfortunate supply constraints. But that's really where we are this year. So, we weren't looking for another 7% total inflation this year, but we've got it. And the question is, what do we do in response to that? We don't think broad-based pricing that triggers a whole new cycle of broad-based elasticity and volume declines across the portfolio is in the best interest of the branded portfolio. It's we don't think it's in the best interest of brand equity and therefore we don't think in the best interest of long-term shareholder value creation. We think it's important that these brands have a strong connection this year with our consumers because that's going to maximize future cash flows. Now, we do have a pathway back clearly to recapturing that margin just like we did after fiscal 2022 and 2023. And it's a combination of the things that I referenced from productivity to other pricing actions to this new initiative that we're commencing to relook at our core business processes to operate them more efficiently. But just as we have in the past, when you go through these mechanical cycles and you get that margin pinch this year in particular because we're investing quite a bit more in to get through the supply chain resiliency. On top of the inflation, you do see the margins bounce back and that's what we are expecting going forward. And if we get relief on the inflation side, that could come pretty materially.
Max Gumford: Great. Thank you. And related to that, the gone through several years now, I think four or so, of volume declines, it sounds like FY 2026 could potentially have a modest volume decline as well. So I was hoping to get a bit more color on the operating deleverage that you've seen the business face over the last several and whether at this point you see any need to rationalize your manufacturing footprint or right size the organization anyway. I'll leave it there. Thanks very much.
Sean Connolly: Well, the first comment I'll make is not all volume declines are at this juncture are created equal. We want to avoid for volume declines in our growth businesses frozen snacks. Which is why we're investing margin to do that. So that's that business is about growth. The cash business is about cash and that's kind of the way we've set up our actions. And as for anything else we need to do to kind of structurally, I think in good shape. We just have to deliver this year, get volumes healthy and frozen snacks maximize the cash flow on that canned food business, and then continue the momentum that we've got on innovation as we go into next year and we start getting some relief on the margin side. Dave, you want to add to that?
Dave Marberger: Yes. So, I would say in terms of kind of ongoing network structure, we have a supply chain that's constantly looking at our network. If over time we see volumes declining in any particular manufacturing area, we will always look to try to consolidate our network to minimize overhead costs relative to the volume that's being produced. That's an ongoing thing that we do. One thing in this year and then in next in terms of fiscal 2025 and then fiscal 2026 forecast that we just gave, there is definitely an additional absorption headwind because of the investments that we're making both in our baked chicken production and our fried chicken production. Because we have to move production to a third-party manufacturer order to make the investment. So that slows down and obviously stops production at some point. You can try to manage overhead know, somewhat in that situation, but you are going to have absorption hits. And so that's was in our 25 numbers. It's forecasted in our fiscal 26 numbers. It's part of that investment that we talk about. That's why we're encouraged with fiscal 2027 because as we get those investments completed, and we can be less reliant on the third-party manufacturers and we can bring that volume back in-house that absorption is not as much of a headwind anymore and it can actually become a tailwind. And so that's part of the levers for fiscal 2027. So hopefully that gives you a little color.
Max Gumford: It does. Thanks very much. I'll pass it on.
Operator: And your next question comes from Brian Adams with UBS. Please go ahead.
Brian Adams: Hey, good morning guys. Thanks for the question. Just going off what you've said so far, Sean, along with the prepared remarks, it's pretty clear that the doubling down on the volume growth as a priority is key here. And even if that comes at the expense of profitability near term, so just through that lens, there's a lot of moving pieces as we look out to 26 p debt on the inflation side or obviously, as you guys know better than most on the tariff side. Do you think about balancing if things change in those two pieces of the outlook, how do you think about balancing further investment to drive growth? Versus maybe flowing some of that through to the bottom line at this point?
Sean Connolly: Well, I think our strategy is to maximize value for the long haul. And to do that, we need our hero brands to be heroes and that's frozen and snacks. And we need them to be resonant with consumers because if you milk a business like that, and you don't invest to drive volumes after a period several several years of weaker volumes then the brand atrophy. And if the brand atrophies the valuation of that asset has declined. And we want to maximize the value of our brand assets for long-term maximum value creation and cash flow. And that's what we think we're going to do. Now obviously, if we were to speculate and say we were having costs run away again, we'll have to revisit everything real time. And try to strike a balance there. But based on where we sit today with the call we have today for inflation and the call we have today for tariffs, which are obviously moving around by the minute. This is what we think the right course of action is. If those inputs change, we'll update our game plan and then we'll make sure to update you on it as well.
Brian Adams: Okay. Got it. And then just one more kind of big picture one. There's obviously been some pruning in the portfolio, of weight and then also just looking across the industry more broadly recently, there's been some reshuffling in the packaged food landscape from an M&A standpoint. So just as you think that as you think about, like, looking out to '27 at this point, getting back to maybe more on algorithm growth. Are there any other like, categories or businesses within the portfolio that you're looking at in terms of maybe reevaluating the fit, as part of Conagra at this point?
Sean Connolly: Yes. I think if you do look at the big picture in terms of what we've done with portfolio reshaping in the last eight to nine years, it's been a humongous amount of portfolio reshaping in terms of what the portfolio makeup is today versus what it used to be. And the strategy is to have more and more of our portfolio every year focused on the growth areas of frozen and snacks and less on the grocery business. And that's what we've done with the Chef Boyardee divestiture. Fish is a little bit of a different animal and that it was frozen. But really to operate well in the fish industry, you almost need to be vertically integrated, which we were not. And we did sell our Indian joint venture. So those were businesses that were not part of our strategic growth areas. That's been our for some time. There are probably other candidates that I won't get into on this call that we can look at as exit candidates in that grocery business over time. But smartly and methodically because those businesses also do play a role in the portfolio by throwing off cash, absorbing a lot of overhead and funding a lot of the investments we make in the growth business. So we always take a thoughtful approach to that action and we're certainly not flat-footed there as we've done more divestitures than most people in our space over the last decade. So we'll continue to look at it and we'll continue to post you as we have new ideas.
Brian Adams: Very helpful. Thanks, Sean. Thanks, Dave.
Operator: And your next question comes from Chris Carey with Wells Fargo. Please go ahead.
Chris Carey: Hey, everyone. Hope you're well.
Sean Connolly: Hi, Chris.
Chris Carey: The I two questions. The first question is on our math, it does appear that you potentially need productivity to kind of run twice the rate that you've historically driven? As a benefit to gross margins. I wonder if that checks out on your math, this idea that you do need a substantial step up in productivity. And I just wonder if you could give a little bit more detail on some of the drivers around that step up just as a starting point.
Sean Connolly: Well, I think as we mentioned in our prepared remarks today, Chris, the productivity has been running very strong. We have no reason to believe it will be less strong. If anything, it will be stronger. But we ran total productivity last year north of 4%. That's a good number. This year including the tariff mitigation efforts, the number is north of 5%, which is a very strong number. So obviously, we continue to deliver that kind of productivity, juxtaposed up against inflation that normalizes, we're going to we'll be fairly flush at that juncture. But we've got a tremendous amount of modernization work that's going on within supply chain to drive productivity, some of which we've talked about before, like the connected shop floor work. Basically in the food industry, what you've got going on these days is a lot of automation and modernization. Of factories that in the past were not that. And as you do that, you become more efficient and you can run with better throughputs at lower costs. And that's what we've seen. Dave, do you want to add to that?
Dave Marberger: Yes, just and I'm going to kind of tie it back to the way that I laid out slides in my section with the EPS bridge because what we did, we looked at 4% core inflation and then commented that expect our productivity to be 4%. So and we feel very good about that. As Sean just mentioned, the a continuation of the acceleration we saw this in fiscal 2025. We have a very robust program by the way on our core productivity programs around manufacturing efficiencies and yields and product design, material negotiation, just all the details. We have a team of people that work on this like many companies do. And so we feel really good about the progress, the investments in technology we've made, in order to yield that. What I also put with that though, when we look at total inflation, we have 4% core and 3% tariffs. And of the 3% tariff bucket, we've are forecasting that we can mitigate 1% of that, and we are calling that productivity as well. And that's our ability to look at alternate supplies potentially to negotiate with the suppliers to share in this cost. And just other other ways to potentially reduce the usage of the items that are being tariffed. And so that's all goes into the mitigation bucket, and that's 1% of the 3%. So they're all built into our forecast of our EPS number. We feel comfortable with those pieces of productivity. So don't know if you're referring to something else, but that's what we laid out.
Chris Carey: No. That makes total sense. I think there's know, bit of a difference between the gross productivity and the net productivity inclusive of operational offsets? And that's probably a broader conversation. But productivity ramps, that makes sense. Just the follow-up would be private label is going to be seeing a lot of inflation as well. Presumably, that should be maybe improving your competitive stance vis a vis private label, presumably private label will need to take pricing given the amount of pressure that, you know, this cohort will be under. I just wonder if you have any thoughts about some of the opportunities that this sort of inflation might give you a competitive standpoint, specifically relative to private label? Thanks.
Sean Connolly: Overall, Chris, we don't have we're below average in terms of private label development in our categories. But obviously it differs by category. We will be taking targeted pricing in the canned food business because we've got a major amount of inflation there due to tariffs. Tomatoes is part of the canned food business. Tomatoes is basically hunts and private label. So how we perform there typically has a lot to do with what our competition does. So it's something that we always watch. We will watch there. And we'll see if the environment proves to be rational. But that's one of the really only a couple of categories in our portfolio where we've really got a to look at it and monitor that. Would say it would be tomatoes, it would be our whip topping business and our cooking spray business. Those are the three that we really monitor price gaps, price thresholds on and we're very agile in terms of making adjustments. But it's very early innings right now. We'll see how that unfolds and keep you apprised as we see it.
Chris Carey: Thanks so much.
Operator: And your next question comes from Robert Moskow with TD Cowen. Please go ahead. Robert, your line may be on mute. You're up for question.
Robert Moskow: Sorry about that. Can you hear me now?
Sean Connolly: Yes.
Robert Moskow: Okay. Sorry. Sean, I want to know about all the innovation that you're doing in frozen. I mean, no one does more than Conagra in frozen. To help try to grow the category. But I think it's been difficult to see evidence that the innovation helps you premiumize or raise price. And, you know, you see it in other consumer staples categories where they use the innovation to justify higher pricing. Of all the new products you're introducing this year, were you able to do that in any instances? Or is it just too hard in this environment?
Sean Connolly: Hey, Rob, I'm glad you asked that question. That actually is the opposite of what has unfolded over the last ten years. So let me take you back down memory lane to where frozen food consumer pricing was circa 2015. If you went into a mass merchandiser, you would find banquet meals being sold at maybe $0.88 maybe $0.98 depending upon the week. Today, you walk into a grocery store, you will find the name banquet, but the execution will look radically different and the price of that product is closer to $4. And so you've got a multi turn increase in the price point over the course of ten years, but interestingly, the consumer assessment of the value proposition at that higher price point is that it's a superior value versus what was offered before. Because the quality of the product before was very weak, quality of the product now is excellent and the quantity is larger. So I could give you example after example of how that changed, whether it's Banquet or Marie Callender or high-end brands like Chang's Bistro and things like that. Just to give you a contemporary example of this past year that really was lost in the news of supply constraints on our chicken business our most successful innovation in fiscal 2025 was a new product called Banquet Mega Chicken Fillets. Banquet Mega Chicken Filets is a bag of fried chicken fillets that basically mimics what you would buy at Chick-fil-A which is the hottest QSR that you can find that kids all love obviously. We launched this product after our demand science team came up with the idea and we expected good results. We got results massively beyond our expectations. And by the way, when you sell, I think it's six chicken fillets in a bag, it's a much higher dollar ring than a typical single-serve meal. So it is a premium product in terms of realization per unit. But these the sales of this Banquet Mega Chicken Fillet absolutely blew away our expectations. And then we completely ran out of capacity on them because we had to we basically had to shut down chicken processing facility. And so, so we now have decided to double down on our investment in fried chicken capacity. It's going to be more costly next this year because we're going to do it on the outside. But then we'll repatriate that on the inside. But these are just all examples of how our innovation machine is entirely focused on premiumization, and that has a double meaning to it. Higher quality in every bite but also higher dollar ring and more focus going forward in Frozen on our multi-serve packaging instead of single-serve because we are still very underdeveloped in multi-serve relative to what we've done in single-serve and that's entirely white space for us. And what we'll do there will be significantly higher quality and more premium than the incumbents that are already in the multi-serve space that kind of have been milking their businesses for a long, long time. So we're excited about that. Really pleased with what we saw with Banquet Mega Filets this year. We're going to step on the gas on that because we know consumers absolutely love.
Robert Moskow: Okay. Thank you.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Matthew Nieses for any closing remarks.
Matthew Nieses: Thank you, Michael, and thank you all for joining us today. Please reach out to Investor Relations with any additional questions. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.